Operator: Welcome to the Xylem’s Second Quarter 2021 Earnings Conference Call. [Operator instructions] I would now like to turn the call over to Matt Latino, Vice President of Investor Relations.
Matt Latino: Thank you. Good morning, everyone, and welcome to Xylem's second quarter earnings conference call. With me today are Chief Executive Officer, Patrick Decker; and Chief Financial Officer Sandy Rowland. They will provide their perspective on Xylem's second quarter results and our outlook. Following our prepared remarks, we will address questions related to the information covered on the call. [Operator instructions] As a reminder, this call and our webcast are accompanied by a slide presentation available in the Investors section of our website at www.xylem.com. A replay of today's call will be available until midnight on September 1. Please note the replay number is (800) 585-8367, and the confirmation code is 8774036. Additionally, the call will be available for playback via the Investors section of our website under the heading Investor Events. Please turn to Slide 2. We will make some forward-looking statements on today's call, including references to future events or developments that we anticipate will or may occur in the future. All references will be on an organic or adjusted basis, unless otherwise indicated. These statements are subject to future risks and uncertainties, such as those factors described in Xylem's most recent annual report on Form 10-K and in subsequent reports filed with the SEC, including in our Form 10-Q to report results for the period ending June 30, 2021. Please note that the company undertakes no obligation to update forward-looking statements publicly to reflect subsequent events or circumstances, and actual events or results could differ materially from those anticipated. In the appendix, we have also provided you with a summary of our key performance metrics, including both GAAP and non-GAAP metrics.  For purposes of today's call, all references will be on an organic and adjusted basis, unless otherwise indicated. Non-GAAP financials have been reconciled for you and are in the appendix of the presentation. Now please turn to Slide 3, and I will turn the call over to our CEO, Patrick Decker
Patrick Decker: Good morning, everyone, and thank you for joining us. The call is starting a bit later in the morning than usual this quarter. So, by now, you will have seen that second quarter performance exceeded our expectations on all major metrics, including orders, revenue, margin, and earnings per share. I'm very proud of the team beating the healthy pace we set in the first quarter and just delivering a very strong first half of the year. Underlying demand for our solutions was robust across all segments and end-markets. The team did a great job converting that into better-than-expected performance and continuing to expand margin. They delivered even more exceptional results on orders, which grew 29% on underlying demand across all regions. In addition, backlog is up 35% versus this point last year, that broad expansion reflects commercial momentum that puts us in a strong position both now and into the future, as we continue to invest in sustainable growth. At the end of the first quarter, we raised full year guidance on revenue and earnings. The second quarter’s performance shows a continuing strong trajectory into the second half. And we are reflecting that by further raising full year revenue guidance. The topline benefits are likely to be moderated somewhat by inflation and a challenging supply chain environment. But we've been proactive on price and are working with our supply chain partners to mitigate the impact of those headwinds. So, we are also raising the midpoint on earnings per share guidance for the full year. In a moment I'll provide some additional color on what we're seeing globally. But first, let me hand it over to Sandy to provide more detail on performance in the quarter.
Sandy Rowland: Thank you, Patrick. The second quarter offered a strong story of continuing demand recovery as revenue grew 11% organically compared to the prior year. We also saw momentum across most end markets on a quarter sequential basis. Utilities, our largest end market, was up 6% compared to the prior year, driven by clean water applications and continued wastewater utility OpEx demand. Industrial was up 17% on broad-based strengths as economies reopened and activity continued to ramp. Commercial grew 12% and also improved sequentially led by strength in the U.S. and Western Europe, while residential, our smallest end market grew 29%. Geographically, Western Europe and China were both up mid-teens with increasing demand seen across all end markets. The U.S. returned to growth with site access restrictions easing during the quarter. As Patrick mentioned, the team delivered exceptional organic orders growth of 29% on strong underlying demand across all segments and regions, with particular pace in M&CS, which grew orders 70% on large water metrology contracts. This is our fourth consecutive quarter of sequential orders improvements and it reflects higher orders growth than in the same period in 2019. Importantly, we exit the quarter with overall backlog ups 35%. Looking at the key financial metrics, margins were above our forecasted range with EBITDA margin coming in at 17.3%. The 200 basis points of year-over-year EBITDA margin expansion came largely from productivity volume and favorable mix, partially offset by inflation and investments. Earnings per share in the quarter was $0.66, which is up 65%. Please turn to Slide 5 and I'll review our segment performance for the quarter. Water Infrastructure delivered strong results during the quarter. Orders were flat, but up 22% excluding the large prior year deal in Telangana, India. Order intake was robust in treatment globally. Revenues were up 6% organically. Wastewater utilities remained resilient and we are now seeing recovery in the industrial end market. Geographically, emerging markets delivered mid-teens growth from industrial recovery driven in part by increasing mining demand in Latin America and Africa, while Western Europe delivered double digit girls from continued strong utility OpEx activities. In the U.S. healthy utilities OpEx demand reflected in strong orders growth, was offset by the lapping of prior year treatment project deliveries. EBITDA margin was in line with the prior year as strong productivity savings and volume effects, offset inflation and investments. Now please turn to Slide 6. The applied water segment had a very strong quarter driven by continuing market recovery across all regions and end markets. Orders were up 43%, organically in the quarter with particular strength in the U.S. and Western Europe. Revenue grew 18% in the quarter with double digit industrial demand driven by reopening activity, and especially in marine and food and beverage applications. Residential growth continues to be robust on strong market demand. Geographically, the U.S. was up double digits while yet Western Europe contributed 27% growth on increasing industrial demand. Emerging markets were up 24% due in part to broad industrial recovery and momentum in China. Segment EBITDA margin grew 200 basis points compared to the prior year. The expansion came from strong volume, leverage and productivity, more than offsetting material and freight inflation. Now please turn to Slide 7, and I'll cover our Measurement & Control Solutions segment. M&CS deliver a strong quarter as large project deployments began to ramp. We also realized gains in our industrial water quality testing business. Orders for the segment were up 70% organically on strong demand. Our M&CS backlog now stands at $1.5 billion, which is an historic high and almost 50% higher than at this time last year. We have secured more than $400 million in large contracts in the last 18 months. That reflects a number of major projects, which increasingly include our blotter digital solutions in combination with our core metrology application. Revenue was up 11% led by 17% growth in water applications, driven by large project deployments and double-digit growth in water quality applications. Energy applications were down modestly due to project timing and supply chain constraints. Unpacking the results by geography, emerging markets in Western Europe were up 20% and 25% respectively. The U.S. was up mid-single digits on strong demand for water quality applications and assessment services. As a reminder, for this segment in particular, growth rates can be uneven due to the impact of project timing. Segment EBITDA margin in the quarter was up 460 basis points compared to the prior year. Strong productivity savings from prior year restructuring actions, favorable mix and volume leverage more than offset inflation in investments. Now let's turn to Slide 8 for an overview of cash flows and the company's financial position. Our balance sheet continues to be very strong. We closed the quarter with $1.8 billion in cash and cash equivalents. In the third quarter, $600 million of senior notes will mature to be paid with cash. Free cash flow conversion was 172% in the quarter in line with our expectations and historical seasonality patterns. Net debt to EBITDA leverage was 1.3 times at the end of the quarter. Pease turn to Slide 9 and I'll turn the call back over to Patrick.
Patrick Decker: Thanks Sandy. I want to touch on three areas briefly. Our operating discipline, our growth platforms and sustainability. On operating discipline, the team did an excellent job on margins in the quarter, delivering 200 basis points of EBITDA margin expansion year-on-year, in addition to quarter sequential improvement. We do anticipate some inflation and component supply challenges in the second half, but we're confident in our ability to manage through them and to mitigate their impact. Earlier, I noted our extremely healthy backlogs. As we've worked through these volumes, the team is doing a great job, making sure we manage the pressure on working capital this can create. In fact, despite serving spiking demand, we've improved working capital both year-over-year and quarter sequentially. As Sandy just mentioned, that performance puts us firmly on track to deliver our commitment on attractive free cash flow conversion. We clearly have significant capacity for capital deployment. On top of strong organic growth investment options, we have an attractive and active pipeline of M&A opportunities. Our growth platforms are an area we'll be delving into at our Investor Day in September, so I'm going to refrain from too much detail here today. I do want to draw attention to two things, however. Last quarter, we highlighted the pace of growth in emerging markets. This quarter, that pace has continued. Despite India's hard acceleration through the quarter due to COVID impact there. I'm very proud of the entire Xylem team's discipline and compassionate response in all countries affected by COVID, both in terms of our own operations and also how we've leaned in to support customers and help serve our communities. I also want to take a moment to draw a connecting line between our portfolio and some of the dramatic water-centric events we've been seeing recently around the world, by which I mean the flooding in Europe, China, and Central Asia and the drought in American West. These events reflect a trend as the effects of climate change become more and more apparent. And that trend requires an affordable response to keep communities safe, resilient, and water secure. So we continue to invest in specific technologies in our portfolio that respond to these challenges. As an example, automated wastewater network optimization is amongst our most advanced digital solutions. Its job is to manage overflows and prevent flooding. And our customer deployments are already preventing 1.4 billion cubic meters of water from flooding communities. Similarly, we also continue to innovate in the technologies that make communities more resilient to drought, technologies like leak detection, smart metering and especially water reuse. Already 1 trillion gallons of water are being recycled using Xylem technology, which brings me to the topic of sustainability more broadly. The numbers I just quoted come from our annual-sustainability report, which we published in June. And I think they bear out what we've said for some time. Our sustainability strategy is fundamental to our business strategy. We were pleased to report, for example, that almost half of our major facilities are now operating on 100% renewable energy, helping reduce our greenhouse gas emissions intensity by more than 7% year-over-year. Beyond our own footprint, our solutions have enabled our customers to reduce their carbon emissions by 700,000 metric tons last year. The report details progress on all of our signature sustainability goals and shows how sustainability is deeply embedded in who we are as a company. Now with that, I'll hand it back over to Sandy to provide commentary on our end markets and guidance for the remainder of the year.
Sandy Rowland: Thanks, Patrick. Our full-year outlook for our end markets remains largely consistent with our view from last quarter with some positive evolution as a few end markets are showing even faster recovery. In utilities, demand continues to be strong in both wastewater and clean water, affirming our anticipated growth of mid-to-high single digits. On the wastewater side, we have seen steady demand in Western Europe and North America as operators continue to focus on mission-critical applications while also investing in larger scale upgrades on affordable funding from capital markets. Bid activity and long-term capital spending outlook in emerging markets remains solid, though some COVID concerns linger in certain markets. On the clean water side, demand for smart water solutions and digital offerings continues to be robust as utilities increasingly turn their focus to more resilient infrastructure and affordable water delivery. Consistent with other technology companies, the connected nature of our solutions raises some risk in the second half, given prolonged supply chain constraints for electronic components. Our teams are working closely with our suppliers and manufacturing partners to optimize deliveries. Please turn to Slide 11. Looking at the industrial end market, where we had expected mid-single digits growth for the year, we are now anticipated growing in the high single digits. The growth is broad-based with rebounding industrial activity across all segments and regions. We're seeing upticks in demand, particularly in our industrial dewatering business in emerging markets. We're also seeing higher demand in marine and food and beverage, driven by recovery in outdoor recreation and the hospitality sector. We are increasing our outlook in the commercial end market as well. The U.S. replacement business is growing at a first pace. New commercial building is expected to lag the recovery somewhat, but key leading indicators reflect optimism for late 2021 recovery in the institutional sector. With growth in Western Europe and China sustained through the second half, along with modest share gains and supply chain resiliency, we now expect the commercial end market to be up mid-to-high single digits, up from the low single digits previously. In residential, we now anticipate low teens growth for the full year, up modestly from our previous expectations of high single-digit to low double-digit growth. We do expect growth will moderate through the second half, due largely to a more difficult year-over-year comparisons. And now let's turn to Slide 12, and I'll walk you through our updated guidance. As you can see, we are further raising our previous annual guidance. For Xylem overall, we now see full year organic revenue growth in the range of 6% to 8%, up from our previous guidance range of 5% to 7%. This confidence is based on clear demand recovery, combined with the pricing actions we are taking to offset inflation. This revenue guidance breaks down by segment as follows. For water infrastructure, we expect mid-single-digit growth from a previous expectation of mid-to-high single digits. We expect low double-digit growth in applied water, up from mid-to-high single digits. And in measurement & control solutions, we expect mid-single-digit growth. We also expect EBITDA margins in the range of 17.2% to 17.7%. This guidance represents full-year margin expansion of 120 basis points at the midpoint. That's grounded in a strong first-half performance with 300 basis points of expansion from restructuring savings on actions we took late last year, as well as volume leverage from the top line growth. The third quarter is more challenging, primarily driven by the timing of inflation and price realization. However, price realization will increase into the fourth quarter as we work through the large backlog built over the last several quarters. Overall, we expect strong second-half margins compared to the first half of the year. This yields an adjusted EPS guidance range of $2.55 to $2.70, reflecting increased confidence in our ability to lift the bottom end of the range while still managing through inflation and supply chain challenges. That range now reflects a 28% increase in EPS guidance at the midpoint over last year. We continue to expect full-year 2021 free cash flow conversion of 80% to 90% as previously guided, putting our three-year average right around 130%. We have provided you with a number of other full-year assumptions to supplement your models. Those assumptions are largely unchanged from our original guidance. However, one item worth noting is our updated assumption on foreign exchange for the second half of the year. Because of the recent dip in the euro and the disproportionate effect it had on our results, we've updated our euro to dollar conversion rate assumption for the second half from 1.22 to 1.18. This change, along with some other currency movements has a $0.04 negative impact on our second-half outlook. As you know, foreign exchange can be volatile, so we've included our typical foreign exchange sensitivity table in the appendix. Also, we are making an adjustment to our restructuring and realignment guidance from 50 million to 60 million to now 30 million to 40 million, while still expecting to realize similar restructuring savings due to high natural attrition and the timing of actions. And now before wrapping up, let me share some thoughts on our third-quarter outlook. We anticipate total company organic revenues will grow in the range of 5% to 7%. This includes mid-single-digit growth in water infrastructure, high single-digit growth in applied water, and low single-digit growth in M&CS. We expect third-quarter adjusted-EBITDA margin to be in the range of 16.7% to 17.2%, largely in line with our strong second quarter. While inflation and component supply are likely to present some headwinds in the third quarter, we are addressing them with the pricing and supply chain actions previously mentioned. And with that, please turn to Slide 13, and I'll turn the call back over to Patrick for some closing comments.
Patrick Decker: Thanks, Sandy. The team has been doing an outstanding job capturing market demand, giving us exceptional orders and backlog growth. We expect to continue capitalizing on that underlying demand. And the team will manage through the near-term supply chain environment with the same spirit and discipline they've demonstrated through the many external challenges of the past year. Looking forward, trends toward new investment in infrastructure and particularly in the modernization of infrastructure are accelerating hand-in-hand with demand to make communities more resilient to climate change and to do it in a more affordable way. Those trends only reinforce the strength of our investment thesis, that our differentiated portfolio of leading technologies, addressing scarcity, resilience, and affordability will drive increased revenue growth and margins, and sustainable growth with strong cash flow generation and increased opportunity for capital deployment. This puts us in a privileged position to create both economic and social value for our stakeholders now and over the medium and long term. We are genuinely excited about providing an update on our strategy and long-term plans at our upcoming Investor Day, which is scheduled for September 30. It will be the first opportunity for many of you to meet all of our business leaders and our entire senior leadership team, especially those who joined us over the past year. So it's a great chance to provide a full-strategic update, including our long-term financial targets, and a deep dive into our vision of how digital solutions are transforming outcomes for our customers, including discussions with a few of those customers who've deployed some of our most advanced technologies. Matt and the team will follow up with invitations and logistical details in the coming days. Now let's turn the call over to you and are happy to take any questions you may have. So operator?
Operator: [Operator Instructions] Your first question comes from the line of Michael Halloran with Baird.
Michael Halloran: Hey, good morning, everyone.
Patrick Decker: Hey, Mike. How are you doing?
Sandy Rowland: Hi, Mike.
Michael Halloran: I'm all good. Thank you. So two questions on M&CS here. First, maybe just a little deeper dive on how you see that backlog conversion playing out? Obviously, a really nice sequential move in orders, really good commentary from an underlying perspective on what the underlying cadence, demand, et cetera, looks like. But you also have the supply chain challenges, shortages, things like that. How do you see that playing out right now in terms of site access, in terms of availability, in terms of when that next ramp or rollout really can start accelerating again?
Patrick Decker: Yes, sure. Thanks, Mike. Great question. So yes, the backlog growth in M&CS specifically was about 49% in this past quarter. So a really good uptick. Really encouraged by a number of not just the large-deal wins that the team has achieved there, but also the base business, the day-to-day business grew quite nicely in the quarter, and we see good momentum there. We feel that the site access issues have certainly eased. I wouldn't say they're completely resolved, but they're certainly trending in the right direction. Where we're really seeing – and really, the primary challenge out there right now, which the team is all over working hard to mitigate that is some of the component shortages. And that's not limited to us. That really is not just across our sector, but as you all well know, broader sectors as well. But the team is all over. We're doing everything we can, whether it be kind of paying up for some components, making sure we lock in commitments around that. So we're very – we feel very good about the momentum. It really does feel like that part of our business is turning the corner in terms of converting things into backlog. We look at the margin in backlog, especially as we go into 2022 and feel very good about that, not just what they've achieved already this year. Again, challenges aside in the second half around component shortages, and those are real. They're not insignificant, but we're confident we can work through that. And it's shaping up very nice for 2022 and beyond.
Michael Halloran: So you touched a little bit on it in the answer, but just dig a little deeper. Could you just talk about the mix of the backlog, how that's tracking versus some of the more digitally oriented and the newer solutions you're putting in the marketplace, broader approach there versus more traditional. And also thoughts on how you think the backlog margin is tracking out as well in comfort level given all the moving pieces?
Patrick Decker: Sure. Yes. And I think on the – let me take the second one first. The margin on the backlog, we're confident about as we go into 2022 and beyond. Again, we've got this near-term challenge we're working through in Q3 and Q4 on component shortages, et cetera. But again, we're holding our own there. As it relates to the mix, we continue to see a real adoption of – even in these large metrology deals that we're doing, there is an ever-going increased component of that, that is digital. And so we're very encouraged by that. And we continue to see a number of really impressive wins on the branding that we call Xylem Vue, which is the purely digital kind of data-driven diagnostic capabilities. And so we're very encouraged in that area as well. But there's definitely a shifting mix toward the digital component.
Michael Halloran: Great. Thank you for the time Patrick.
Patrick Decker: We'll have more that we'll share on that at our upcoming Investor Day to kind of unpack and unbundle that for you all.
Michael Halloran: Makes a lot of sense. Appreciate it.
Patrick Decker: Thank you.
Operator: Your next question comes from the line of Deane Dray with RBC Capital Markets.
Deane Dray: Thank you. Good morning, everyone.
Patrick Decker: Good morning, Deane. How are you doing?
Sandy Rowland: Good morning, Deane.
Deane Dray: Hey. Doing real well. Thanks. Just like to pick up where we left off there on the supply chain. And it looks like you are managing through this based upon your margin success. We were expecting you to get some price increases in the second quarter, how did that play out? And then what's the expectation for second half on a price cost for the total company? Thanks.
Sandy Rowland: Yes. Thanks for the question, Deane. I think that we're very happy with how we've managed through the inflation dynamics through the first half of the year. And we were able to realize some incremental price in Q2. We do expect that, that will continue to ramp throughout the year. Just as a reminder, we're now up on our third price increase for the year. We got out of the gate early with a price increase in the first quarter because of the continuous rise in the commodity prices. We've then taken that decision to take two additional price increases. I think there is one unique dynamic that we're working through. The backlogs are a little higher than we typically find at any given period of time. And so the realizations, there's a little bit of a timing issue. But net-net, I think we're doing a good job here, and it will continue to ramp, particularly in the fourth quarter.
Patrick Decker: Yes. And Deane, I would just offer that, so yes, as Sandy said, the most challenging time frame we say right now is really in Q3 because we did have this big bump in backlog. And so that's – we're shipping that out. We – there is price realization in there. But as you know, commodities especially have moved so quickly that we've gone out now and we'll go out again with further price increases. But we – as we look at the exit, especially in Q4, that really all comes back into complete equilibrium. And we are net positive at that point once again.
Deane Dray: Great. Just a quick clarification. And, Patrick, I don't know if you were anticipating I was going to ask this question until you gave the partial answer earlier is in the orders, especially MC&S, the digital component, can you put a number just broadly? It doesn't have to be that precise, but how much of these orders have a digital component. And you can include Sensus and their smart meter part of that as well.
Patrick Decker: Yes. No, absolutely. And I think, Deane – I'll give you an answer. And Deane, I think this is absolutely what we want to delve in a bit more at Investor Day. We really kind of want to lay out that baseline and that framework as to how we think about digital and what that kind of trend line is and what our metrics and incentives tied to that are. So much more to come at Investor Day. But just to put it in perspective, we've had, in the last 18 months, we've had $400 million roughly in large-deal wins. And that has had a significant digital component to it. And so that just gives you one sense of kind of proof point. And then there are a number of, again, really interesting projects and deals that we've won with what we call the Xylem Vue, which is, again, purely the diagnostic kind of consultative side of the business that we'll be highlighting at Investor Day. So we'll cover more of that on September 30. But hopefully, that gives you a bit of a flavor of that. There's a real meaningful adoption here on the digital side that we want to give the appropriate color to. We're very, very excited about it.
Deane Dray: Of course, happy to wait until then for those specifics. And just last one for me on water infrastructure, just tempering the guidance on the top line going to mid-single digit. Just what are the key headwinds? And how would you calibrate those?
Sandy Rowland: Yes. I think it's a modest shift. I think we did take the water infrastructure guide up in the first – at the end of the first quarter, we initially guided to about a 4% increase. We took that up. I think we're very close in the same spot. It's largely unchanged.
Patrick Decker: Yes. I think there's some timing of project delivery and some shipments. We had some pretty impressive comps versus last year. Deane, I wouldn't read anything into that. I mean, we're trying to be prudent just in terms of the guide for the second half. But there's nothing happening from a market standpoint that is changing our view on that segment. We're very confident. It continues to be very much in that healthy mid-single-digit kind of growth rate as we'd expect. And there, that also cuts across geographies, Deane. We're not seeing any kind of slowdown or shift in spending in the U.S. because of infrastructure discussion or any of that is just – again, it's trying to be prudent.
Deane Dray: That's real helpful. Thank you.
Patrick Decker: Thank you.
Operator: Your next question comes from the line of Ryan Connors with Boenning and Scattergood.
Ryan Connors: Hey, thanks for taking my questions. I wanted to – not to beat the dead horse on the supply chain issues. But if you just want to drill down there. Some of the sort of peer companies have talked about sort of foregone revenue because it's so tough to get some components and things. But it sounds like you're not really saying that. You mentioned, Patrick, paying up for components. And it sounds like in your case, it's more of a – you're willing to take it on the margin side if you have to and to get the business and be able to shift the business. And it hasn't really been a revenue headwind leaving business on the table either in the past or in the second half. Is that a fair characterization of what I'm hearing or is it not?
Patrick Decker: No, that's fair, Ryan. I mean, again, I'd be remiss if I didn't give a huge shout out to the team that's working through this because it is challenging. I mean it's not an insignificant challenge that they're trying to overcome at this point in time. But just to put some kind of parameters around this. And we estimate right now, we've probably moved roughly at least $20 million of revenue out of the second half of the year into 2022. Obviously, there's never any guarantee. Obviously, that comes with healthy margins. And so if it weren't for that, we would probably be talking about a further adjustment to our guide. But that's the reality that we are working through at this point in time. And it's not without risk. So our teams are working their backsides off in that regard. Yes, we don't feel that we are losing revenue from a competitive standpoint because we're all facing the same challenges. And this is a pretty sticky business. It's hard to swap out suppliers. So that's the right characterization, Ryan. Hopefully, a little bit extra color can be was helpful.
Ryan Connors: Yes, it certainly was. And then as a follow-on to that, you, at the corporate level, as well as all of your salespeople that you've given us all access to with the trade events and things, always talk about pricing for value as opposed to pricing for commodities. So how do you handle this weird environment where you're suddenly having to price for commodities? I mean, do you build in de-escalators if certain things go down in the future? I mean, it just seems like a very different discussion than you normally like to have around sort of pricing for value?
Patrick Decker: Yes. No, you're absolutely right, Ryan. I mean we – the teams are continuing to remain primarily focused on pricing for value. And that, again, really tying back to, again, what are the customer outcomes that we're looking to achieve here in terms of helping them achieve their goals. And so we are getting better, I think, at pricing for value. I would say in these kinds of interesting environments, we were not really doing surcharges. So it's not like we're putting it out there where we have to dial it back later. And so we're trying to be disciplined in that regard. At the same time, we also dealt with this. It wasn't that long ago, we were talking about the tariffs and all the other interesting pricing challenges that we had to overcome. So again, I don't want to minimize the incredible hard work the teams are doing to deal with this pricing environment. But I'm very pleased and very proud of what they've accomplished thus far.
Ryan Connors: Okay. Good. And then I did have one last one. I didn't hear a two-question restrictions. So hopefully, I'm not in over here, but…
Patrick Decker: Two-question restrictions, Ryan.
Ryan Connors: I'll hop back in later. That's fine.
Sandy Rowland: No. Go ahead, Ryan.
Ryan Connors: Okay. Just a very big picture. But just obviously, stock is sitting at an all-time high. You've got a great currency. And we've seen this weird kind of valuation gap develop. You've got a great story to tell around ESG, maybe others do not. So this huge valuation gap has opened up. I mean, has there been any thought to how that influences your M&A strategy where you use that currency to raise capital? And kind of arbitrage that by some of these smaller companies who don't seem to be – have their ducks in a row on ESG and bring some of your best practices there? I mean is that something that you thought about?
Patrick Decker: Absolutely, Ryan. I mean, it's a great point. But if I bring it back to center on that theme around kind of capital deployment, again, the pipeline is very active. It's – we believe there are things that are actionable there of different shapes and sizes. We absolutely would believe in using our currency in the right way and leverage that in the right way to go after really attractive strategic assets that are a good strategic fit. Obviously, we still are going to be disciplined around returns and it really is around growth, making sure it's accretive, making sure margins are accretive. There's a technology component, we believe it's very important that there is a services recurring revenue component that are very attractive. So those fundamentals don't change. But your question around using stock as a currency, that is something that we are very much open to in a disciplined way. And I like the point you made. I do believe that – and again, I'm very proud of what the entire team has done here on making sure that sustainability for us and the broader ESG is not just some kind of stand-alone thing. It's deeply integrated into our business. It's what we do as a company. And it's in our operating processes. We have incentives tied around it. And I do think that, that is an area of synergy as we look at other companies that we could bring into the portfolio. So I think a very good point in your part, Ryan.
Ryan Connors: Very well. Thanks. And thanks for letting me squeeze that one in.
Patrick Decker: Sure. Thank you.
Operator: Your next question comes from the line of Connor Lynagh with Morgan Stanley.
Connor Lynagh: Yes. Thanks. I wanted to return to the orders, which obviously pretty much across all segments look very impressive. I'm curious – and I appreciate this is probably difficult to quantify, but I'm curious if you're seeing behavior from customers that would suggest that they are anticipating supply chain bottlenecks of their own? In other words, are you seeing over ordering? Or do you think this is just representative of very strong demand trends in a true underlying sense?
Sandy Rowland: Yes. Thanks for the question. I think, first of all, we are seeing great momentum on the orders front. And so we do believe that demand is coming back in a very sustainable way. I think if you break it down a little bit by our segments, I think in water infrastructure, in particular, we're probably seeing the most natural order flow and not really an acceleration or deviation from historical timing. When you shift over and look at AWS and M&CS where I think we're up 43% in AWS in the quarter and 70% in M&CS, there is true demand returning. But we are seeing customers try to get in line a little bit, whether it's ahead of longer lead times that we published, some incremental pricing actions that we've announced, or importantly, the supply chain components that we've talked about extensively on the call. All of that in combination is certainly impacting some of the buying behaviors. But I think the order momentum that we have is – we're really excited about, and we think it positions us well not only for the second half of the year, but as we look forward into 2022 and beyond.
Connor Lynagh: Yes. That's helpful color. Thank you. Just on the guidance, water infrastructure is the loan area where you seem to revise down the view a little bit. I'm just curious if there's specific projects or specific regions that are driving that? And I guess how would you contrast that with the strong ordering activity that you've seen year-to-date? Is it more of just a temporary supply chain issue? Or is there something more significant underlying that?
Sandy Rowland: I think it's minor. We try to tighten the range a little bit as we move into the second half, but we did have some U.S. treatment orders that just got pushed out a little bit in – that we had in Q2 that have gotten pushed out, and some of that plays through the rest of the guide. But I think fundamentally, we're seeing good orders momentum in treatment. We're seeing good orders momentum in dewatering, and transport is – continues to be strong. So there's nothing there from an order perspective that gives us any concern. And I view it just as we're tightening the range a little bit as we move into the second half.
Connor Lynagh: Make sense. Thanks. I'll turn it back.
Operator: Your next question comes from the line of Nathan Jones with Stifel.
Nathan Jones: Good morning, everyone.
Patrick Decker: Hey, good morning, Nate.
Nathan Jones: I had a follow-up question on the MCS order rates. Obviously, all-time record, so fantastic stuff there. I know you guys account for that a little bit differently. You don't stick the entire order for a 10-year project into the backlog when you say that you need to have POs in hand to actually book it as an order. So can you talk about what's driving that? Is it the ramp-up of projects that you had previously won? Or are they orders here for new projects that you're just winning now?
Sandy Rowland: So I think great question, Nate. I think you've got the flow well understood. The first step for us is to bring something into our backlog. And we tend to see that around large metrology deployments. And as we get closer to the rollout phase, we start to see real orders that come in from our customers. And I think we're seeing a pop in the order rate because some of the large orders, large awards that we brought into backlog are starting to convert into orders now that some of the site access restrictions are easing. And some of it also is what I just answered before. We are seeing that some of the customers are trying to get in line sooner to get in front of some of the component shortages. But I think backlog is a leading indicator and the orders means that it's starting to – will start to convert into revenue in a more short-term basis.
Patrick Decker: And I would add, Nate, it's not too much specifically in a reaction to your question on the order flow and so forth. But we didn't call out earlier. And I really do want to get a shout out to our team within M&CS that manages our analytics business. I mean they've been performing very well. It's really high margin, and that business really has been showing robust growth and strength. So that's – it doesn't move the numbers dramatically in the aggregate, but it's very rich in margin. And I'm very proud of what the team is doing there.
Nathan Jones: Great. I had a follow-up question on the restructuring expense and the high-natural attrition comment. I mean, obviously, you were looking to take some of those heads out anyway. But can you talk about whether or not you're worried at all about high-natural attrition if you're losing talent for one reason or another? And any steps you might need to take there to protect that talent base?
Patrick Decker: Yes, Nate. It's again, another great question. I would say labor shortage, managing attrition, it is a challenge. It is a headache. It's something that I and management team worry about a lot. But it's not our primary challenge. I mean I think our primary challenge right now is, again, working through the component shortages and the supply chain challenges, which, in some cases, is an indirect impact of labor shortage, broadly speaking. I would say one of the areas also that we are very focused on is retaining some critical areas like software engineers, a very competitive landscape at this point in time. I mean we are focused on it. We feel that our – not only our purpose and mission as a company is very compelling for attracting and retaining a wide variety of talent. But two, we are continuing to look at some flexible areas that we can just drive further retention. Obviously, the pandemic has been hard on everyone around the world, and there is some dislocation occurring right now. And so we're being very thoughtful as to how we work through that. We built any of that incremental cost into our outlook, but that's something that we are going to continue to stay very close to because the talent is just so, it's so essential here in terms of what we're trying to accomplish.
Nathan Jones: Great. Thanks very much for taking my questions.
Patrick Decker: Thank you.
Operator: Your next question comes from the line of Scott Graham with Rosenblatt Securities.
Scott Graham: Hey, good morning. Thanks for taking my question.
Patrick Decker: Hey Scott.
Matt Latino: Hey Scott.
Sandy Rowland: Good morning Scott. 
Scott Graham: So, couple of things if you said it, I didn't hear it. Did you – can you offer us a single point number for what pricing was?
Sandy Rowland: Yes, it's about 50 basis points in the quarter.
Scott Graham: Okay. And then to that end it looks like the pricing occurred in the Applied Water and M&CS segments, and it looks like water infrastructure pricing was negative. Is that true?
Sandy Rowland: In water infrastructure it's flattish. And then we did see that the greatest price realization within AWS, and that's where we're seeing some more of the commodity increases hit most rapidly. And we did see a little bit of pricing benefit in M&CS, which is tied into our contract terms with our customer. I think what's important to note is that we're going to see – we do expect incremental pricing benefits as we move through the year, and you're going to see that number rise in each of our upcoming calls.
Patrick Decker: Yes, so, the other thing I'd add Scott is just and I think Sandy touched on this in her response to you was, we saw commodity inflation has not hit us equally or consistently in each aspect of our business. It really is a different issue of mix. And so obviously our pricing is driven by our views on not only selling value, but dealing with commodity inflation. So, we just saw more of that earlier on given the shorter cycle nature of our Applied Water business and because of some of the component shortages and other things in M&Cs. I'm not saying it was not an issue in water infrastructure. Our team would not be happy hearing me say otherwise they've dealt with it also. But it’s just the timing of when those commodity inflation impacts would hit us. But we felt good about the run rate within each of the segments.
Scott Graham: Yes. Well, I have no doubt the price is going to get better. You guys have made that clear. I'm just wanting to stay on water infrastructure for one more second, then I have a quick follow-up. It would imply from the slide on – Slide 5, that mix was then negative in water infrastructure, right?
Patrick Decker: That's right. So, Scott, we have – we did see watering return to growth, which was great to see. It was more in the sale of pumps into our channels than it was about the rental side, which would have driven higher incremental margin for us with just how rich that rental side is. So, it was really just a little bit of the mix of where we were seeing the return, particularly in the industrial side, you saw it in the emerging markets and you saw in some of the areas where we serve the mining sector. And it was a lot of pump sales as opposed to the rental, but we have seen rental start to come back here. I think that's something that – that could be something we see in the second half, particularly in North America as the construction markets and other areas get going.
Sandy Rowland: Yes. I think one thing is important to recognize if you look at water infrastructure, if you look at it quarter sequentially, we did see an uptick in margins as we move from the first quarter to the second quarter. And we think that they were well positioned on that front. 
Scott Graham: Okay. And then my last question is Sandy, this is with you, I think, you said you are expecting strong margins in the second half, but flattish based on the construct of your guide. You would be happy with your second half margins, you pulling them strong, but I think the guide implies that they are essentially flat, right?
Sandy Rowland: Yes. So, I think if you look first half, second half, we expect higher margins in the second half of the year. If we look Q2 to Q3, those two quarters actually are shaping up to look very similar. They're about the same size from a revenue perspective. And our guide is very close to what we realized in Q3. And then we do expect it uptick in margins in the fourth quarter. But not as much year-over-year improvement in the second half. And I think that's very consistent with our guide for the year. We expect it to come out of the gate strong from a margin expansion perspective. And I think we’ve realized about 300 basis points of margin expansion in the first half.  As we look into the second half, we don't have that same tailwind. Last year we had restructuring and most of those savings came in the second half of the year. And we realized that in the first half of the year. And I think we've also been very purposeful about how we phased our investments. So, we were purposely phasing those in the second half of the year. And some of those investments will start to ramp up a little bit in the second half. And then of course, inflation is just higher than what we had initially incorporated into our initial guide. And I think those are all the pieces.
Patrick Decker: Yes, I think the only thing I would add Scott is that, I think, probably the most important thing is the read-through is how we see margins in our backlog. We are looking at very high backlogs here. The margin looks very encouraging, very sound, taking a consideration, pricing, the mix, et cetera. So, it sets up well for even more for 2022 and beyond. And as Sandy said, we are making some investments here in the second half as you would expect it to do. I mean, we always do, but we were purposeful in how we phase those into our outlook.
Scott Graham: Patrick, do you mean that the margins in the – first of all, Sandy, thank you for that clarity. That was great. Patrick, do you mean margins in the backlog are up versus the first half gross margin?
Patrick Decker: What I'm saying is margins will continue to continue to be accretive coming to the backlog.
Scott Graham: Got it. Thank you.
Patrick Decker: Thank you. 
Operator: Your next question comes from the line of Andrew Buscaglia with Berenberg.
Andrew Buscaglia: Good morning guys.
Sandy Rowland: Good morning.
Andrew Buscaglia: End of last year you guys were talking things seemed pretty positive around some movement in emerging markets. And things sound like they are going okay so far, year-to-date. But I wonder, you mentioned some site access issues broadly, and some other – some of your peers are experiencing similar things. So, what about some of these countries that are maybe less vaccinated, do you think puts a pause in what you're seeing? Do you think there might just be a lag there before we start to see some of that?
Patrick Decker: Sure, yes. So, I mean, you're absolute, right. We are a very global business. And so, we monitor this whole issue of not just the most recent variant, but the pandemic overall very closely. And we've not seen any meaningful change in customer demand. As a result of that obviously, we continue to take all precautions to keep our own people safe, to respect our customers’ protocols. And I'm very, very proud of the work that the team has done from the very get-go. I mean, first quarter of last year, we saw first in China and it's hard to believe now, we’re year and a half on. But our teams are very disciplined around this. Really, I mean, despite the sharp deceleration in India in the quarter because of the Delta variant there, we still saw very strong growth in emerging markets collectively. China, most notably, but Eastern Europe and others are performing extremely well. So, we're keeping a close eye, but again really haven't seen any meaningful impact as of now on the Delta variant.
Andrew Buscaglia: Yes. Interesting. Okay. And then just probably it's been an active year for M&A. I'm just wondering what's the latest with you guys on that front? It definitely seems like you're in a strong position to make a move if you'd like to. So, any sort of update there would be great?
Patrick Decker: Yes. So, again, the pipeline is very active and attractive pipeline. And again, it's a combination if we – I always bring it back to what are we solving for with M&A. And so, we look at it first by end markets in terms of what we're trying to build out in our offerings for customers. And then I look at it and we look at it from a technology and kind of application standpoint. I’d say on the utility side we will continue. Certainly, second half of this year and onward, we will continue to look at and do bolt-ons and tuck-ins from a technology standpoint around, out that utility offering and feel very encouraged by what we see in the pipeline there you know. We talked a lot in the past about industrial. And certainly, that continues to be something we were very interested in and we've got an active pipeline there. As I always say, it takes two to tango. And so, we can't control the timing of when these things happen, but we continue to cultivate those opportunities. And then there are other verticals, I mean in commercial and resi lag that we certainly keep on our radar screen a look at. So, we feel good about the pipeline. And you will see some things there that we'll continue to do on the bolt on front, and we'll continue to cultivate some of the larger opportunities here over time. We're going to continue to remain disciplined on valuation. As I mentioned earlier to one of the other questions, we certainly are open to using our stock as a currency where it makes sense. So that will not be a disabler, it's an enabler when and if that makes sense to do.
Andrew Buscaglia: Got it. Thank you.
Patrick Decker: Thanks Andrew.
Operator: [Operator Instructions] Your next question comes from the line of Joe Giordano with Cowen.
Joe Giordano: Hey guys, good morning.
Patrick Decker: Hey Joe good morning.
Sandy Rowland: Good morning Joe.
Joe Giordano: So now it's one question, huh? Okay. All right. Yes, so just like with Delta, and, of course, you touched on this earlier, but are you hearing just on the margin, you said orders are kind of getting released because of site access, opening back up. How you like doing the risk internally of that being walked back by your customers a little bit with like actually in requirements, having that issue and like?
Patrick Decker: Yes. No, it's definitely something Joe. I mean, my comment, when I say, we're monitoring closely, we'd rather this far, we've not seen meaningful impact. You're absolutely right, to remind all of us and we certainly are on top of it that we don't take this for granted. And I think again we do build contingency plans into our thinking here as a leadership team. Unfortunately, we've had too much experience in dealing with this over the course of the last year and a half. And weathered it well. But we just, all I'm saying is we haven't seen it yet at this point in time. And obviously we are we are being very vigilant. We are encouraging vaccinations within our own team, we are doing the face masking, we continue to maintain all necessary safety protocols within our own operations. And again, very much respecting the wishes of our customers. I would say that one of the, and you've probably heard this elsewhere, Joe is, at least from a deal flow standpoint, I think, we've all kind of learned how to negotiate these projects and do these deals without being in front of each other all the time. I don't think that's going to change dramatically. To your point it really is. But when the deal actually has to get executed and something gets implemented and installed, yes, we keep our eyes wide open for that. But again, we've not seen any impact on that certainly as of now,
Joe Giordano: Thanks.
Patrick Decker: Thank you.
Operator: Thank you. Your next question comes from the line of Jake Levinson with Melius Research.
Jake Levinson: Good morning, everyone.
Patrick Decker: Good morning, Jake. 
Jake Levinson: Just had – well, I mean, I think, it's pretty unusual that we're talking about having your working capital improve at these levels in the middle of an upcycle. So maybe you can parse for us what's really driving that certainly not the first quarter we're saying that. But is it lean manufacturing, is it restructuring, is it the supply chain initiatives really just any color you can provide there would be helpful?
Sandy Rowland: Yes. Thanks for the question. I think the team is doing really good work, keeping their eye on the ball of working capital. And that's one of our key KPIs that we monitor very closely throughout the year. And I think it's really, it's all aspects of working capital. So, our credit and collections team, is doing a really good job driving down the past due. So, we're seeing good results there. On the inventory front, we'd actually like to carry a little bit more inventory right now to manage through some of the supply chain challenges. And we had actually built into our plan building up a little more inventory. But the reality is as soon as we are getting that in, it's going back out the door to meet demand, which is a good thing. And we have an active supply chain financing program that helps us take advantage of our strong credit ratings. And we're seeing good adoption with some of our suppliers onboarding into that program. And that's giving us some benefits. So, it's really across the board. And we're going to continue to drive it through the rest of the year.
Jake Levinson: Thanks, Sandy. I appreciate the color. And I'll pass it on.
Patrick Decker: Thanks, Jake.
Operator: [Indiscernible] Andrew your line is open.
Unidentified Analyst: Yes. Hi, good afternoon. I think it's the afternoon now. How are you guys?
Patrick Decker: [Indiscernible]
Unidentified Analyst: Can you give us more color into your applied water business? I think it is your only segment in terms of revenue that's now decently above pre-pandemic levels, at least on a quarterly basis. I know residential smaller than commercial residential seems to be driving quite a bit of strength. So how sustainable is that? And then in commercial, it does seem like your commentary regarding commercial recovery, especially in the U.S. has changed significantly for the positive. So, what are you seeing there?
Patrick Decker: Sure. So, I'll – let me take the first piece, and then I may ask you to repeat the second part of your question. On applied water, I would remind everybody that it is predominantly a GDP kind of business. I mean, we're confident that we can outperform that and grow faster than GDP. But what we're seeing right now is obviously a fair amount of reopening activity. And so, some catch up there. Obviously, it's a short cycle business. So, as we've gone out with successive price increases there has been some pool in buying there, no doubt. But we do feel good about the momentum. I would say also one of the things that we're very pleased about there is the team has made an increasing number of investments in new product development in that business to refresh some product lines. And so, we're seeing the impact and success of that and we're going to continue to make those investments really focused on things like energy efficiency as one example. But again, I think that it's a similar rebound right now that we're seeing from previous downturns, on a global scale. So, feel good about it, I think, it's sustainable. But again, that really would explain to here in the immediate term what that stronger demand is. And again, we expect that to continue through the second half of this year and into 2022.
Unidentified Analyst: Yes, Patrick, I was just – the second part of the question was around commercial specifically. I mean, it does seem like your commentary has turned more positive here. Obviously, we're all worried about the virus. But anything specifically that's changed in your business over the last quarter or two?
Patrick Decker: Yes, that's okay. Thank you. So, if I took them at first in the U.S. our replacement business, which is our book and ship, is very solid there. And we do expect new commercial building to be a bit soft through 2021. So that's not really driving our growth here, it really is a replacement piece. You may have heard us say before, when we talk about commercial, we talk about the institutional sector of commercial, not so much kind of the pure non-res. And that outlook actually is improving. And we think that will further improve just based upon some of the discussions like infrastructure spend, et cetera. We've also seen a healthy activity in Europe where we had double digit growth in the first quarter. That's come from some modest share games as well as we believe the resilience of our supply chain versus some of our peers. And again, really focusing on new product launches it's tied to things like smart drives, again, eco-friendly products being launched, the whole energy efficiency play that we're trying to get ahead of in terms of impending regulations that are coming forward.
Unidentified Analyst: Thanks, Patrick. 
Patrick Decker: Thank you.
Operator: Your next question comes from the line of Pavel Molchanov with Raymond James.
Pavel Molchanov: Thanks for taking the question. Just one will be about software in your M&C business. Can you give an update on what the demand picture looks like in terms of digitization, virtualization from the utility sector of vis-à-vis software solutions?
Patrick Decker: Yes, certainly, and we'll talk more about this at Investor Day with real hard specifics and numbers around that to dimensionalize kind of where we see the conversion kind of pace being within the utilities specifically. But we are encouraged by the adoption there. And that is not only a U.S. phenomenon, we're seeing that in Europe in the emerging markets as well. And it really is – I think what we see it's tied to most importantly is around affordability. So, as our utility customers are looking to deal with these challenges in front of them around again, scarcity, water equity, building resilient infrastructure, it always comes down to how they're going to pay for it. And that's where we're really getting most traction right now is whether it be around reducing the initial capital outlay because of smarter infrastructure, whether it be reducing things like water losses which is immediate revenue generation for them. Those are the areas that we're seeing most traction right now in that dialogue. And we're seeing some of those pilots that we we've been talking about the last year or more really converting now into sustainable revenues. So absolutely interest, absolutely adoption wish it was even faster. We'll have more to talk about that in the Investor Day.
Pavel Molchanov: Thank you very much.
Patrick Decker: Thank you.
Operator: At this time there are no further questions. I would like to turn the floor to Mr. Decker for any additional or closing remarks.
Patrick Decker: Well, thank you. Again, thanks for all of you for your continued interest. We look forward to our Investor Day on September 30. Again, as I mentioned, Matt and the team will be getting the details logistically out to you very shortly. Meanwhile, stay safe, stay well. And we wish you all the very best. Talk to you soon.
Operator: Thank you for participating in today's conference. Your may now disconnect your lines at this time.